Operator: Good afternoon, ladies and gentlemen, and welcome to the Harmony Gold Mining Company Limited Fourth Quarter and Financial Fiscal Year in 2013 International Conference. [Operator Instructions] Please also note that this conference is being recorded. I would now like to turn the conference over to Mr. Graham Briggs. Please go ahead, sir.
Graham Paul Briggs: Thank you very much, and welcome, ladies and gentlemen, or good morning, if you're in our time zone or good afternoon in South Africa. This is our quarter 4 for the financial year '13 results. We'll also be talking about the year-end results for financial year '13 and have an outlook for year '14, financial year '14. I'm certainly hoping you've all got the presentation, as per our website. If so, Page 2 should be the Safe Harbor statements. And then we go over to Page 3, which is the agenda. And I'm going to start talking about strategy and talk about the 3 legs of our strategy: optimizing operational delivery; growth; and sharing rewards, and then I'll conclude. It is a little bit of a longer presentation, so please be aware with -- be with me -- bear with me. Slide 5 is our strategy. It has not changed much over the past few years, been refined a little bit. The 3 legs today, operational delivery, growth, sharing rewards. And I'm going to take you through each of those areas to display a little bit of where we are and what we intend to do. Slide 6. Share price is obviously not the greatest on any gold company, but particularly, in South Africa and really dealing with the current gold investment plan is a difficult thing for investors, and as well for us. Investors, obviously, are seeking returns. We are aware that most of our investors are averse to large capital investments, big capital projects and so on. Gold prices, certainly much lower than a year ago and no longer are companies is existing for growth at all cost. And balance sheet is certainly one of the important aspects of a gold-mining company. Just some information on how we went about preparing our plans, and let's start with Slide 7. We really looked each operation by operation and try to maximize the revenue, obviously setting ourselves a relatively conservative gold price. Grade came up as one of the key things that we should be looking at, and therefore, grade is king the word that we've used there. We need to look at de-bottlenecking of those areas where we can de-bottleneck and get better volumes through, and we believe we've got a good reserve base on all our operations for -- that matches our plans. We looked at the risks and there are several measures on mitigation of risks that we looked at. And then the reducing of costs, you've heard us last quarter talking about cost reduction. We are sort of resensitizing the whole business as to waste or cost management. We have done some improvements. We'll give you the numbers on services, on corporate costs and also looking at capital. Rationalizing and really improving productivity is what we've been looking at, rationalizing the operational levels to see where we can improve it. On Slide 8, fairly conservative with respect to our business planning. We have adjusted them for the risks that we see and therefore, they are really aligned to our strategy. We need to do our best to manage the impacts of the external environments. There are many impacts and whether they be legislated, whether they be issues of the local nature, communities around our mines or even the gold price, we need to adapt to those very quickly, and I think we have got to the position where we can. We need to look at productivity. There's a continuous improvement drive, looking at sort of optimization, investigating some of the technology. We've been very proactive on our health strategy. A few years ago, our whole strategy was simply talking about hospitals and the number of sick people. Now, our shift has moved into the very proactive area of trying to keep people healthy and, therefore, keep them healthy at work. Balance sheets, very good, and we've been looking at operation by operation, the total cost of that operation, not just the cash costs, but the costs including capital and all the allocated costs. Then the -- really balancing how much we should be spending on capital, what exploration we should be spending and so on. Slide 9, 8 major risks. Labor disputes, and I'm sure I'll be answering some questions a little bit later on labor and the wage negotiations. That's the top risk that we've got here. Safety risks, we've done a huge amount, I will show you a graph on safety. Gold price, naturally, and foreign exchange fluctuations. Certainly, that can affect the business very badly and we've seen major changes in lots of companies around the world in this last release -- half-year quarter releases. Looking at major environmental infrastructure incidents, it certainly affected Phakisa. There's good progress on the ventilation shaft, but it would be -- it should be back in operation by December and so we're geared for that. No matter which country in, socioeconomic or political or regulatory changes can happen and do happen. We need to manage through that and, therefore, we need to stay close to governments, stay close to our communities, and obviously, monitor these things very carefully. Integrating and managing projects, well, we spent a great deal of money here in South Africa on these assets that are busy building up. And that's one of the issues we need to continue to drive. And then looking at acquisition or longer-term ore reserves is also a strategic issue that we need to look at. We'll talk about financing of Golpu and the development run there. That's our only large capital projects. And then looking at competition for human resources. Those are really the 8 major risks that we've identified. Going to Slide 11 and then on to 12, looking at production and really, the Slide 11 entitled Safe Production. Slide 12 gives you a graphs of various matrices that we measure. And you can see that they're all declining, they've all improved dramatically over the last few years. We've had some very good reports on safety and the work that we're doing. However, we still have more work to do. Obviously, we just have too many fatal store, but we're still getting them reduced and we need to work hard on all of these things. Slide 13, quarter-on-quarter results. We had 2 fatalities during the quarter, which were very unfortunate, and obviously, that affects operations badly. I think it affects people, families and so on, so we're very cognizant of that. Gold production improved by 12%, mainly Kusasalethu starting to come back into production. By the end of the quarter, Kusasalethu is back at full production, back in the sort of the tail end of June. Cash operating cost decreased by 3%. Operating profits, however, was lower at ZAR 639 million, mainly, again, due to the Kusasalethu issue. And Frank will be talking more about losses and so on. Headline loss per share for the quarter, ZAR 1.86. They're all -- as I said, Frank, will talk about deferred taxes and so on. And there was a small amount of retrenchment costs in the quarter. Slide 14. Year-on-year results, a very pleasing 7% increase in underground grade. We have the lowest recorded annual lost time injury frequency rates, so that's a credit to all the safety work that we are doing. The Evander sale was completed, that transaction. We did have a watershed agreement signed at Kusasalethu with labor. That agreement subsequently got mimicked in the various areas of what the minister was doing on getting sort of, a labor stability agreement out. Gold production was down by 2%, and I'll show you the details in the year-on-year analysis, both with and without Kusasalethu and give you the information on operating costs as well, and the unit operating costs. Again, Frank will take us through the financials. And then we have no final dividend declared. We did have an interim dividend of ZAR 0.50. Our policy is normally to pay the dividend out of profits. And, of course, you can see that the last 6 months were not good. Slide 15, a waterfall graph showing the financial year '12, 36,273 kilograms of gold. And the differences there between the winners and the gainers -- sorry, the losers and the gainers. The losers being Kusasalethu, Tshepong, Surface dumps, which is really a filler for them all [ph], so that's not very significant, Hidden Valley and Phakisa. And then the rest, really gaining and giving us the total of 35,374 for financial year '13 If we look at the group operating results quarter-on-quarter, Slide 16, you can see the 12% increase in kilograms or ounces there. The rand per kilogram price at ZAR 427,000. Today's price is at around about ZAR 425,000 a kilogram. It has been lower, closer to ZAR 400,000, but it's all bringing about the ZAR 420,000 as we speak. And then the cash cost and other information there, noteworthy to see, of course, the difference between gold price and rand per kilogram and U.S. dollars an ounce, and that's due to the exchange rate, which is at the bottom line. Slide 17. Group operating results year-on-year, divided into 2 there, the results including Kusasalethu; and on the right, results excluding Kusasalethu. So if you just take Kusasalethu out of -- as well as financial year '12, you can see that there was actually a 7% increase in gold produced. Rand per kilogram, the gold price is slightly different because of the timing of [indiscernible] and so on. And then the cash operating costs decreased. It was worse by 11% even including the poor performance by Tshepong and, of course, Hidden Valley. But it's quite interesting to look at these differences to see how much the Kusasalethu issue cost us in the last year. We've been doing a lot on our mine call factor and our grades. A graph on Slide 18 displaying the mining call factor, where it's come from, at about, what, 74% there and heading towards the 80% turnover. So we have done a lot of clean mining, getting our valuations much better and making sure that we're trying to recover all the gold that we've lost. On Slide 19, a history which goes back to quarter 1 financial year '09, and that's looking at development grades. You can see the steady increase in developing grades. They're a little bit all over the place, but the trend is good. And the interesting thing about development grades, of course, is that when you develop a raise [ph] line you are likely to be mining at sort of within 24, or maybe 36 months from the time you developed it. So you can see those are good indicator of future recovered rates. Slide 20, financial year '12. Underground actual grade at 4.26; financial year '13 at 4.54. And are planning for the next year, financial year '14, at 4.79 gram a tonne. Slide 21. I won't take you through that slide in particular, but we really break down each of the operations, operation-by-operation. And you can see that the 4.79 at the bottom is the same as the 7 -- 4.79 at the previous graph. And you can see the financial year '12, financial year '13 and the recovered grade forecast for '14. Operation-by-operation, a dramatic change in some of them. An example of that, of course, is Bambanani. You can see that's come from a sort of 6.79, closer to 10 grams in the last -- towards the end of last year. We go over to Slide 23, and this is dollars per ounce. You have to remember, of course, the previous slide is on rand per kilogram, so there are exchange rates fluctuations here, but they are done in the quarter that the exchange rate applies, so you can our see cash cost plus net of capital and the growth capital on top of it. And that gives you actually the total cost of the operation. Costs that aren't included here are corporate cost and exploration. I'm now going to hand over to Frank, who will take us through the finances.
Frank Abbott: Thank you, Graham. We turn to Slide 26. We have our cash flow summary it year-on-year in U.S. dollars. Our cash flow from operations, $434 million compared to the $650 million the year before. I mean, if we add the $150 million from Kusasalethu, we would have been very much in line with the previous year. Exploration expenditures, $76 million, $73 million of that spent in PNG, and that was on drilling exploration and the feasibility study. Income and mining taxes paid, that's the actual taxes paid, proceeds from sale of Evander $143 million; capital expenditure, $430 million. And then we paid a dividend of $49 million during the year. Our net debt position at the end of June 2013 is $46 million. We've got good cash balance of $209 million and the debt of $255 million. If we pass over to the income statement, year-on-year in U.S. dollars, that's Slide 28, Slide 28. Before I go through this, I'd like to just talk about a few accounting entries. And one is the impairment and also the tax, the deferred tax reversal. Now what happened is at Hidden Valley, we had an impairment payment of $310 million. That's the convenience -- conversion translation from the event figure to this income statement. And we had a very small impairment of ZAR 58 million from South Africa. The deferred tax asset, which we reversed, was $65 million, and that was in Papua New Guinea. And how did we get to that figure? In Hidden Valley, in Papua New Guinea, there are special deductions for tax and there's a double deduction for exploration costs, and over the years, we've built up these deferred tax assets. Because of the impairment of the interim value asset, we've reversed the deferred tax asset because it means at these gold prices, we would not be utilizing this safe loss. Should the gold price cut, that is still available the future to be offset against our profits. If we go through the income statement, the deferred tax asset -- sorry, is not added back for headline earnings where we do add back the impairment for headline earnings. If we go through the income statement, our revenue for the year was $1.8 billion. That was 8% lower than the year before. That was the gold prices, 5% down and our gold sold was also 3% down. And that was mainly because of the Kusasalethu labor and risk, which was temporarily closed. Cash operating costs went up by 2%. The last portion of the cash operating cost increases at Hidden Valley, where we have a number of costs pages during the period. Our Operating profit, $511 million; amortization and depreciation, very much in line with the year before. We discussed the impairment, that's at -- on Hidden Valley, $310 million; exploration expenditure, taxation, which is the reversal of the deferred tax asset of the earning profit from discontinued operations, the profits from Uganda during the period. And this resulted in a net loss of $267 million. There are headline earnings per share is $0.05. If we page over, we try to normalize so this is to both [ph] [indiscernible]. We try to normalize our profit and add back some of these accounting entries and exceptional items during this period. Our net loss in terms -- from the income statement was $267 million. If we add back the impairment of $310 million, other items of $20 million, which was profit on sale of some assets, we reported headline earnings of $23 million. If we add back the impact of Kusasalethu of $136 million, the deferred tax written off at Hidden Valley of $55 million and the foreign exchange translation loss on the dollar loan of $40 million. Our normalized profit would have been $254 million. Thank you. Graham?
Graham Paul Briggs: Thanks, Frank. I'm now going to talk about growth and Slide 32 captures that. Our focus has been more not growth in ounces but growth in margin. Slide 33 gives you our assets, and you can see where our assets lie on this sort of building from exploration through to steady states. Doornkop is getting closer to steady states, it will get 2 steady states during this next financial year, 2014. Target 3 may take a little bit longer, and Doornkop and Kusasalethu should show good progress. Phakisa, still some work going on the ventilation shaft, as I said. And Hidden Valley, certainly, there's a lot of restructuring that's happened there. In our quarterly reports, you have quite a few pages on the mineral resources reserves. I just got the slide here on reserve reconciliation, looking at June 2012 to June '13 and where the differences occur. And mined, during the year, 1.5 million ounces, some adjustments on surface sources of 800,000 ounces. Scope changes, which were positive on 900,000, and that gives us a gold reserve for 2013 of 37.7 million ounces. And then gold equivalents, which is the same as the year before and that's for Golpu. You can see underground resources, 22.8 million ounces at 5.87-gram a tonne. Very much forward-looking statements on Slide 35. Asset-by-asset, expected potential ounces for financial year '14, giving a total for the whole business at somewhere between 1.3 million and 1.4 million ounces. We've given some cash costs there. We've put average annual capital costs and cash costs. Please read the bullets at the bottom, which means that those costs include cash costs, royalties, maintenance capital, growth capital and the various local economic developments we do. And that takes us to a rand figure of somewhere between ZAR 325,000 and ZAR 360,000 a kilogram. And at ZAR 945,000 [ph], which we've used in this, a U.S. dollar price of somewhere between $1,070 and 1,180 dollars an ounce. When you look at the detail of that operation, you will see that in our planning, we really used ZAR 400,000 a kilogram as sort of the benchmark where no operations should exceed that, so they should be profitable. Below that, you'll see that Phakisa is the one outlier there. It's quite a bit of capital still going in Phakisa, and it's relatively small production compared to where it should be. As so it is building up. Another operation is Hidden Valley, and that one, we should look at the dollars per ounce. Our intent was to try and get Hidden Valley profitable at $1,400. It's going to be selling, looks like pretty close to margin, but we have done a lot of changes and restructuring there. We'll see how that develops over the while. And then if you go further down the page, Kalgold is one of those operations where the cash cost is fairly good, but we have been basically rebuilding the plants over the last year and a bit. And we've got another 2 years to go in that plant. So we're basically rebuilding that plant. Should the gold price go down lower than the ZAR 400,000 or we don't achieve our plan, certainly that's sort of a consideration on what we do, put it in care, maintenance or whatever needs to be taken. So those are 3 operations that are sort of sailing, I think, fairly close to the wind, if you like. We have reviewed our capital, Slide 36. We've given, in the gray shading there, our guidance that we gave last year at this time, August 2012. And we said for this year, financial year '13, we'd spend about ZAR 4.1 billion, the real number is about ZAR 3.6 billion. And this is in rands. And then you can see the forecast for year '14 and '15 there. We were forecasting ZAR 5.1 billion. In fact, we've got to the numbers of ZAR 3 billion. You can look at that over the slide for, Slide 37, see the numbers in dollars, in sort of capital dollars. So quite a change in where we are in the capital of what we are predicting a year ago to what we're predicting now. Slide 38, that's in graphical form, but we've gone back to 2012 and forecasting here through 2018. Of note, of course, is the gray glob, if you like, on it, and that's where -- we haven't put any capital for Golpu from year 2016 onwards. And we'll talk a little bit about Golpu and our plans for that. So we have forecast for the next 2 years, financial year '14 and '15, mainly on drilling and various studies, and we'll talk a little bit about the capital of Wafi-Golpu going forward. We have made some progress on cost cutting and capital. You've seen the capital there. It's supposed to just sort of give us more detail and the reduced costs in Africa. Corporate costs, services and exploration totaling ZAR 450 million. And the capital expenditures you've seen in the previous graphs. Don't envisage mine or shaft closures, I've talked a little bit about those that are sailing close to the wind. On Wafi-Golpu, Slide 42. Great ore body, this, but the Golpu 2012 pre-feasibility study doesn't deliver adequate returns on the current investments on gold and copper prices. And therefore, we found it prudent to reposition Golpu and rethink the whole process of how we build the mine there. In the last year, we've done a lot of drilling, mainly in the upper part of the mine where you've seen before and you'll see now in our quarterly report, you can see the sort of detail of some of that drilling. The higher grades in the top portion is more porphyry and we're getting better metallurgical recoveries. So we know a lot more about the upper portion of the orebody and that has lead us into the conclusion that we can probably build a smaller mine and be it modular and expandable, so we can come in with much lower capital and expand this operation in the future. So in our budget, we've got funding for drilling and study expenditure in the next 2 years. And beyond the year '15 and over to year -- financial year '16 onwards, we'll consider external funding options. By then, we'll have more detail and more certainty on what the capital costs would be, but safe to say, that will be a lot less than what was predicted in the pre-feasibility study. We'll be reviewing and giving you feedback, hopefully, within the next 9 to 12 months and we'll certainly make sure that the development of these projects is aligned with the strategy. 43 gives you a little bit of detail where we were on the 2012 pre-feasibility. We have world-class Greenfield copper porphyry resource, no doubt about that. Extensive infrastructure that we've had to do to get down to it. Now we are thinking more in line with sinking shafts, which means that we can get to the orebody quicker, especially if it's in the upper portion of the orebody. Slide 44 just recaps some of the things which you all know very well. If you look at copper price, there's a sort of down trend there. The gold price, certainly, have quite a large downtrend. Capital costs for new developments is the orange portion to those graphs where various mining companies have also had a big increase in their capital costs. That's due to several factors. One is that there's been big competition starting to draw -- sorry, to develop these projects. There's been time delays as well and safe to say that a lot of these contractors and issuers have really been under the microscope and there's a lot of sharper pencils out there. So our expectation is that capital costs will be very much more competitive in the future. Operating costs for mines, this is just a graph showing world's and Australian, I'm sure the world one includes the South African cost, you can see our costs are going up. And, of course, if you look at the gold price now, it's down at much lower, $1,300, you'll see certainly a tight squeeze on margins worldwide. Slide 45 tries to put that into words of what we're planning to do. So the 2012 pre-feasibility outcome was really a Big Bang solution, it's going to be a big mine, capital-intensive, lots of dollars have to be spent to get it into early really production and a fairly high-risk profile. The new targeted outcome is looking at a more modular expandable solutions, with much lower capital and achievable but a competitive schedule, really a lower-risk profile. So the various areas of focus: cost effective solutions; considering even temporary or sacrificial infrastructure that would certainly last for a few years, but may not last the whole mine life. Minimizing the footprint is important because footprints and bulk moving of material in Papua New Guinea is quite expensive. So really the aim is to improve the value and reduce the risk of the project that we build. And that has to fit in with our strategy now of, obviously, investors seeking return, getting better value for this project, with lower capital and nearer-term cash flow, but also looking at a scalable mine, something can scale up in the future. And we think this will create better shareholder value through this approach. Golpu is a world-class resource, I've got 2 planned views on Slide 46, the one of the Wafi transfer area and the other one of the immediate area around Wafi and Golpu, several ore bodies that sort of are there. More important is the Golpu one, but Wafi is also there, also some other gold anomalies that are showing some of the drill results are sort of giving some not pleasing numbers. Slide 47. Again, you've seen this slide before, but just to reaffirm that when it comes to grades, Golpu project is certainly one of the best when it comes to copper and gold grades around. So it's -- this is of the Southeast Asian copper gold deposits. We give an indicative timeline on Slide 48, we write down in the sort of orange area at the months. you will see that in those various stages, it looks like we're advancing on underground studies and looking at underground access a lot earlier than we were in the original timeline. And that's because we believe we need to get down and fully understand this orebody to be able to play in the mine properly. The last leg of our strategy, really, Slide 50. Balancing the stakeholder needs. I guess, no matter where you are in the world, there are a whole lot of stakeholders, whether it be the governments or the local community or employees or even your shareholders, you need to try and balance those needs. And what we have in Slide 51 is just a bit of a list of all our various stakeholders and, of course, our shareholders are most important to us, but we need to balance all the other needs of the stakeholders. Some of the issues on social relations there, I think health and safety initiatives, we've had very good success on those. We continue to look at social upliftments in those areas surrounding our mines. Relatively, been quite stable around our mines. Ongoing looking at managing relationships, and these are probably pretty common to when anyone looks at South Africa or international. And the last point there is really the wage negotiations. So that's our scorecards. This is how you should measure us. Going forward, Slide 54 is just capturing the strategy again. And just to conclude with, I think, in fact, I know we remain undervalued despite a great deal of improved safety, credit capital discipline, have got free cash flow. We are displaying those cost reductions. We've got a great asset portfolio, and Golpu is one of those parts and the assets is great and we need to see the value of that. We have good balance sheet strength, low debt numbers, we saw that from Frank's -- or Frank was saying. Increase in grade, we've seen that in the last year, and we're planning that going forward. We think we've been quite responsible in getting the right sort of balance between corporate and social investments. We have paid dividends during this year. We paid a ZAR 0.50 interim because of the last some 6 months and has not been profitable. We haven't paid final dividends, but it's certainly our intention to pay dividends. And we believe we've got experienced management teams. Ladies and gentlemen, I think that's it from our side. Let me open myself for questions, to either Frank or myself.
Operator: [Operator Instructions] Our first question comes from David Haughton from BMO.
David Haughton: I've got a question about the impairments. It seems that the impairments are really pivoting around Hidden Valley. I'm just wondering whether that's because you inherited that from Newcrest, who had also recorded an impairment, or whether you had run the carrying body [ph] test right across your portfolio?
Frank Abbott: All right, David. This is Frank, I'm going to answer you on that. Yes, we did run -- David, we did run those tests on all our operations. We had small impairments in South Africa, but the 95%, 98% of impairment was in Hidden Valley. I think the one thing is that the rand gold cost didn't come down as much as the dollar gold cost. That helped us in testing for impairment. But the second thing is also that most of our South African operations are -- we've built it as operations, sometimes [ph] may go and then our carrying value for that those assets are much lower than what's the case of Hidden Valley, which was recently sort of built from nothing.
David Haughton: All right. And what kind of economic parameters did you put around those tests, Frank, as far as your rand per kilogram prices, et cetera?
Frank Abbott: Yes. So what we would have done is we would have used the real terms, we would have done the gold price in rand at real terms, at ZAR 400,000. And our discount factors was -- depending on which operation, would have been, in real terms, between 6% and 10%. And then Hidden Valley, I think our discount there was at 8.52%, if I remember correctly. And the gold price for the first year was $1,250. And then we had a gold cost [ph] of $1,300, and then we had a long-term gold cost [ph] of $1,400.
David Haughton: Okay. So that's a fairly reasonable go at it. If I can just now switch topics, CapEx revisions shown on Page 36, that's quite a significant improvement, and obviously, a lot of hard decisions gone into that. If we wanted to think about how we build that CapEx up, should we be thinking about the data that you gave us on Page 35 and look at the difference between your operating costs and your operating costs plus capital costs with that?
Graham Paul Briggs: Yes, David, if I can, you need to sort of maybe flick between Page 39 and 35. If you look at 39 and you look at the yellow, sort of gray, light gray color and green, that's all in South Africa. So if you look at the top 3, they're around about $300 million for this year and for next year. That's all South African capital in the various categories. That capital will all be in the difference between the cash cost and the average annual capital there in unit costs on Slide 35, except the Hidden Valley one is the purple one and that's the delta between roughly the cash costs and the average all-in costs. But you have to -- when you look at Hidden Valley, take note of the exchange rate that we've used here.
David Haughton: Okay. So I just want to confirm I've got all the bits and pieces between those various slides, if you're able to get it down to the individual operational level.
Frank Abbott: Yes. The only exception would be on Slide 39, the red, that's the Wafi-Golpu. Because the capital, we haven't included in any of those operations.
David Haughton: All right. And we're having a look at the cost as you are going through, Graham, you identified the ones that were kind of -- the problem child and Hidden Valley, clearly one of those. Are you comfortable that you'd be able to get those costs down to something that you would find acceptable, or are you thinking of something more drastic there?
Graham Paul Briggs: David, the guys have done a lot of work. There's been some significant management changes in that we are starting to get in -- instead of fly in, fly out, we're starting to look at residential. And therefore, management decisions should be carried forward without sort of non-hand over, if you like, or the difficult to handover that's normally associated with fly in , fly out. It also reduces the number of managers you actually have to have because you don't have 2 managers for each job. So there's significant changes in numbers of people. In total, I think the whole PNG, including exploration, Hidden Valley and Golpu, about 1,000 people less than they were just 2 months ago. And the big change there is obviously the crusher, now starting to perform, which means that we won't be holding the ore down to the plants, that 5-kilometer crawl [ph] down the hill and getting the trucks back again. So that's a significant change in the cost. So it's certainly -- it's still a plan, there' still a lot of promise in that and I think the guys seem to be fairly convinced that they can do it and they're getting measured on a daily basis. So there's a lot of focus on that, no doubt.
Operator: Our next question comes from David Barbusha [ph] from Debtwire [ph].
Unknown Analyst: I just wanted to ask a question regarding your outstanding debt facilities. From what I understand, you were planning to renegotiate or renew a revolving credit facility that you obtained from Netbank [ph], which is maturing in December 2015, plus a term loan of ZAR 762 million and a syndicated loan of $300 million that is supposed to mature in August 2015. What's the situation and do you still plan to renegotiate this debt?
Frank Abbott: Yes, thank you. I think that we all are going to -- beginning of -- I think it was to, in the next 12 months, to renegotiate and to reprice those loans facilities with the new loan facility, dollar facility. We've been really fortunate that the current interest debt that we're paying is 2.6% plus LIBOR. And so I'm not sure if we will be able to get the same rate going forward, but we will be looking at the base interest rate and replace those facilities in the next 12 months.
Unknown Analyst: All right, I understand. And do you have a target, I mean, in terms of maturity of the new facilities that you're going to obtain to replace the old ones?
Frank Abbott: The old ones were 4 years, and we're not certain yet but it would -- at least be 4 to 5 years.
Operator: [Operator Instructions] We have a question from Stephanie Barsdorf from Noah Capital.
Stephanie Barsdorf: I was just wondering if you could elaborate on -- you spoke about mechanization innovation, I was wondering if you could go into detail on what exactly you're looking at there.
Graham Paul Briggs: Yes, Stephanie, it's a good question. There's quite a lot of new technology that we are using on our mines, which is really often available in various industries and it requires a bit of adaptation to be used on the mines. Certainly, when it comes to our safety systems, there's quite a lot there. I can give you an example, for instance, and likely we have on several of our operations. Basically, drill rigs, which you would find in sort of normal mines internationally, they're either rail bound or rubber wheeled. But in a lot of mines, because we rail a lot of things, they are rail bound. And it's a case of getting them to adopt and work in the conditions that we have, and for us to get full advantage of that. At the moment, we're in the situation where we haven't seen that technology working greatly for us in, obviously, a productivity advantage. So that's the type of thing that we're looking at. We, in the industry, together, in South Africa obviously spend some time with the other companies talking about their technology. And we do a lot of, hopefully, learning from each other. So we don't want to reinvent the wheel. So I know AngloGold is doing a lot of technology changes. We're aware of those, they are doing some developments. A lot of the companies are trying to perfect the equipment to be able to operate under the underground conditions. And then companies, obviously, will be keen to sell us some of that equipment as well. So there are various programs, but it's a case of really getting them to adapt to the conditions that we're working underground.
Operator: [Operator Instructions]
Graham Paul Briggs: Well, let me complete and just finish off the presentation, if you don't mind. I believe that we've done a lot of work on repositioning Harmony for the future. Safety wise, we've done a great job. We need to continue to do that job so that we eventually can claim not to kill anybody in our operations. We've done a lot of work on health as well, we've got very much more proactive health planning. We've done a lot of planning on our operations with respect to production and grade and looking at the bottleneck. We've done some cost savings. You've seen the capital view that we have. A new sort of idea and new thoughts on Golpu and the way to take it forward is starting to emerge and we'll obviously give that information through as and when we get it. And then, most of our operations are in South Africa. We are still very much South Africans and the gold price hasn't been that bad. It's, today, at gold price of ZAR 425,000 a kilogram, that's not too shabby. It takes us into some of the gold prices that we had during our last while. So we certainly are really well positioned to look at the future and fairly confident about our plan going forward. Ladies and gentlemen, thank you very much and have a great day.
Operator: Thank you very much, sir. Ladies and gentlemen, on behalf of Harmony Gold Mining Company Limited, that concludes this afternoon's conference. Thank you for joining us, and you may now disconnect your lines.